Operator: Hello, ladies and gentlemen, and thank you for standing by for GreenTree's Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions]. I would now like to turn the meeting over to your host for today's call, Mr. Rene Vanguestaine of Christensen, GreenTree's Investor Relations firm. Please proceed, Rene.
Rene Vanguestaine: Thank you. Hello, everyone. Thank you. GreenTree's earnings release was distributed earlier today and is available on our IR website at ir.998.com as well as on PR Newswire services. As a reminder, we also posted a PowerPoint presentation that accompanies our comments to the same IR website.  On the call from GreenTree are Mr. Alex Xu, Chairman and Chief Executive Officer; Ms. Selina Yang, Chief Financial Officer; and Mr. Nicky Zheng, IR Manager. Ms. Megan Huang, Vice President of Sales and Marketing, is attending an industry-wide conference and is not able to join our call today.  Mr. Xu will present the company's Q4 and full year 2020 performance overview, followed by Ms. Yang, who will discuss business operations, financials and guidance. They will be available to answer your questions during the Q&A session, which will follow.  Before we begin, I'd like to remind you that this conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements can be identified by terminologies such as may, will, expects, anticipates, aims, future, intends, plans, believes, estimates, continue, target, is or are likely to, going forward, confident, outlook and similar statements.  Any statements that are not historical facts, including statements about the company and its industry, are forward-looking statements. Such statements are based upon management's current expectations and current market and operating conditions, and relate to events that involve known and unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results, performance or achievements to differ materially from those in the forward-looking statements. You should not place undue reliance on these forward-looking statements.  Further information regarding these and other risks, uncertainties or factors is included in the company's filings with the U.S. Securities and Exchange Commission. All information provided, including the forward-looking statements made during this conference call, are current as of today's date. The company does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under applicable law.  It is now my pleasure to introduce our Chairman and Chief Executive Officer, Mr. Alex Xu. Mr. Xu, please go ahead.
Alex Xu: Thank you, Rene, and thanks, everyone, for joining our 2020 fourth quarter and full year earnings call today. In this report, we will highlight our Q4 and full year performance, followed by our strategic focus in 2021. Then we will go into the details of our operation and the financial performance in Q4 and the full year 2020.  Please turn to Slide 5. We were glad to see the robust recovery continuing in the fourth quarter. Compared with Q3 2020, RevPAR increased 4.1% to RMB124.4; total revenues increased 8.6% to RMB289.8 million; income from operations increased 17.4% to RMB118.5 million with a margin of 40.9%. Non-GAAP adjusted EBITDA increased 17.8% to RMB130.6 million with a margin of 45.1%. And the non-GAAP core net income increased 18.3% to RMB109.3 million with a margin of 37.7%. While RevPAR was slightly lower than in the fourth quarter of 2019, income from operations, adjusted EBITDA and core net income was substantially higher than in the Q4 2019.  Let's take a look at Slide 6. Here, you can see the considerable progress we have made since the pandemic hit our business back in January 2020. Total revenues, income from operations, adjusted EBITDA and the non-GAAP core net income all increased for 3 consecutive quarters from the lows in Q1 with consistently improving margins.  Let's turn to Slide 7. The fourth quarter saw a sustained recovery in occupancy rate, ADR and RevPAR. We outperformed the industry by leveraging our strategic advantages, including our expansive footprint in Tier 3 and the lower cities and our industry-leading member loyalty program, as well as the hard work of our franchisees and staff.  Slide 8 shows our occupancy rate and RevPAR over the past 15 months. Due to the resurgence of the COVID-19 in several provinces and cities, such as Hebei, Shanghai and Beijing, our occupancy rate declined in Q4 2020 and in January 2021. As you can see, occupancy rate was at its lowest during the Chinese spring festival due to the government's stay-local policy. However, it rebounded quickly, especially after March 16 when people could travel more freely in low-risk zones.  With the rollout of the COVID-19 vaccines, most travel restrictions have been lifted. According to the official microblog of the Ministry of Culture and Tourism, the Tomb Sweeping holiday on April 5, 2021, saw 102 million domestic tourists. That represents a year-over-year growth of 144.6% and 94.5% of the number of domestic tourists in 2019.  By early April, our occupancy rate had recovered to 77.7%, and RevPAR recovered to 92.7% of the 2019 levels. The key takeaway is that by the end of 2020, GreenTree proved to be a more resilient and still performed better.  Please turn to Slide 10 to begin in the discussion of our strategic focus. In 2021, our strategic planning focuses on 2 key components: hotel expansion and the franchisee support. Expansion targets strategic locations, Tier 3 and smaller cities and the mid-to-upscale market segment. And for our franchisees in 2021, we are expanding our plan to renovate over 760 existing hotels in the following years, which should significantly increase our RevPAR. We will also continue to improve our direct sales channels and members' support, and continue our investment in the IT and data infrastructure.  Let's take a look at Slide 11. In Q4 2020, we accelerated our expansion into the middle and higher-end markets in Central China, Southeast China and Southwest China. During the first quarter of 2021, we opened several L&O hotels in Tier 1 and 2 cities in these regions, including Chengdu and Wuhan, all well-located around transportation hubs, central business districts or government centers. By showcasing our brand and operating standards, we believe these hotels will help us to attract more high-quality franchisees, further accelerating our growth.  Slide 12 highlights our strong presence in China's thriving Tier 3 and the lower cities. This is not by chance, but by design. Over the past 4 years, the vast majority of our new hotel openings have been in Tier 3 and the lower cities. And 69.8% of all hotels in our current development pipelines are located in such cities.  As a testament to the soundness of this strategy, during the pandemic, the pace of recovery at our hotels in Tier 3 and the lower cities was consistently faster than in other cities until the end of the Q4 when business recovery in the Tier 2 cities accelerated. The combination of our existing footprint and our strong performance in these cities give us a real competitive advantage to capture future opportunities in China's booming hospitality industry.  Now please turn to Slide 13. We have been consistently growing our high-end segment over the past few years. And at the end of 2020, hotels in this segment represented 21.2% of our total portfolio compared to only 5.2% in 2017. This year, we plan to open more hotels in the mid-to-upscale and luxury segment. In 2021, we also expand our ongoing hotel upgrade program to renovate 760 hotels, which have been in operation for more than 7 years.  On Slide 14, you get a summary of the marketing support, which we provide to our franchisees. The same slide also shows impressive growth in both of our individual and corporate membership programs, which contributed most of our 92.2% of all direct sales in 2020. In addition to the benefits which we provide, our members also receive benefits from our business alliances which, in turn, help us to attract more members.  In summary, despite the many unprecedented challenges brought upon us by COVID-19, the company delivered a robust Q4 with above-average sequential improvement in operating and financial metrics across the hospitality industry. I am extremely grateful for the achievements of our teams. I cannot thank enough of the smart government policies, strong local government and community support. I cannot thank enough all of our employees, franchisees and our guests and our investors for their support and dedication.  Thanks to our resilient business model, we are able to weather an extremely difficult year in the travel industry and performed well above the industry benchmark. When considering our well-segmented and robust brand portfolio, the loyalty of our members and our strong balance sheet, we are well positioned to capitalize on opportunities and create long-term and sustainable growth for our shareholders in 2021 and beyond.  I will now pass the call over to Selina, who will summarize our business operations and financial for the fourth quarter. Selina, please go ahead.
Selina Yang: Thank you, Alex. Please turn to Slide 16. The impact of COVID-19 on the company's operations and performance was inevitable. The fourth quarter of 2020 blended ADR decreased 3.6% year-over-year to RMB162. Occupancy rate increased to 76.7% and RevPAR decreased 3.2% to RMB124. Nevertheless, we continue to expand our market presence across China, opening 203 new hotels in the fourth quarter. We ended the year with 1,186 hotels in our pipeline, up 25% over year-end 2019.  Total revenues for the quarter were RMB289.8 million, a 0.1% increase compared to the fourth quarter of 2019. Income from operations increased 19.9% to RMB118.5 million. Non-GAAP core net income increased 22.3% to RMB109.3 million. And core net income per ADS, basic and diluted, increased 21.3% to RMB1.06.  Moving to Slide 17. At the end of the fourth quarter, we had 4,340 hotels in operation, 9.7% more than a year before. 40 of these hotels were leased and operated, or L&O hotels, and 4,300 were franchised and managed, or F&M hotels, while the middle scale segment remains the core of our business with 64.2% of all our hotels.  Last year, we continued our expansion into both the high-end and economy segments. This expansion accelerated in the fourth quarter as the number of the mid-to-upscale and luxury hotels increased to 8.8% of our total portfolio, while the economy segment at 27% remained stable. As Alex mentioned, we also solidified our already dominant position in Tier 3 and smaller cities. And at the end of the fourth quarter, 67.3% of our hotels were in these cities. These strategic advantages enhance our cross-marketing efforts across all our brands and locations.  On Slide 18, you can see that in the fourth quarter, we opened 203 hotels compared to 190 in the fourth quarter 2019. Three hotels were in the luxury segment; 29 in the mid-to-upscale segment; 141 in the mid-scale segment; and 30 in the economy segment. 19 were in Tier 1 cities; 42 in Tier 2 cities; and the remaining 142 in Tier 3 and smaller cities in China. 15.8% of newly opened hotels in the fourth quarter were in the mid-to-upscale and luxury segments of the market.  We closed 58 hotels: 8 due to brand upgrade; 35 due to noncompliance with our brand and operating standards; and 15 due to property-related issues. So net-net, we added 145 hotels to our portfolio during the quarter. Slide 19 shows the growth in our pipeline of new hotels. Despite COVID-19, our pipeline increased from 949 on December 31, 2019, to 1,186 on December 31, 2020. Around 41% of these new hotels are in the mid-scale segment and about 34% in economy sector and around 25% in mid-to-upscale and luxury segments.  Slide 20 shows the quarterly operating performance trend. Compared with third quarter, RevPAR for our L&O hotels increased to RMB135; RevPAR for our F&M hotels increased to RMB124. ADR for our L&O hotels increased to RMB190, and ADR for our F&M hotels increased to RMB162. Occupancy rate in our L&O hotels increased to 31% and occupancy rate in our F&M hotels decreased to 76.8%, while RevPAR continued to rebound. Total revenues increased 0.1% year-over-year to RMB289.8 million. Total revenue for our F&M hotels decreased 4.6% to RMB207.2 million while total revenue from our L&O hotels increased 11% to RMB76.1 million. The increase was primarily due to the sustained recovery in hotel operations from the impact of COVID-19 as well as the revenue contribution from our newly opened L&O hotels. This represents an 8.6% sequential increase over Q3 total revenues. Primarily is RevPAR growing from RMB120 in the third quarter to RMB124 in the fourth quarter.  Turning to Slide 22. You will see that hotel operating costs were RMB99.8 million, a 7.8% year-over-year increase. That is mainly attributable to higher rents and increase of other costs with the expansion of our L&O hotels. In the fourth quarter, we opened 4 new L&O hotels, which accounted for most of the increase in hotel operating costs in this quarter. If we exclude L&O hotel operating costs, cost related to F&M hotels and others decreased 7%. Compared with third quarter, we observed a 7.6% sequential decrease. That's mainly due to higher newly opening expenses in the third quarter.  Selling and marketing expenses were RMB24.2 million, a year-over-year increase of 4.7%, which was mainly attributable to higher advertising costs. Compared with third quarter, selling and marketing expenses increased by 13.9%, attributable to higher advertising expenses.  Q4 general and administrative expenses were RMB50.9 million, down 36.1% year-over-year. The decrease was primarily attributable to the effective control of business travel expenses and the impact of onetime provision for bad debt during the same period of 2019. Excluding the impact of this bad debt in 2019, our G&A in the fourth quarter decreased by 14.3%.  Compared with third quarter, G&A expenses increased by 13.6%, which was mainly attributable to the increase of consulting fees and higher staff costs. Overall, 2020 operating costs and expenses decreased 11.8% year-over-year to RMB175 million. Excluding L&O hotel operating costs, our total operating cost and expenses decreased 23.5% from 2019.  Turning to Slide 24. Income from operations defined as revenue minus total operating costs and expenses for the fourth quarter of 2020 totaled to RMB118.5 million, that's $18.2 million, representing a year-over-year increase of 19.9%. The increase was mainly due to the sustained recovery of RevPAR, the increased number of hotels and better controlled costs and expenses during this quarter.  Operating margin, defined as income from operations as a percentage of total revenues was 40.9% compared to 34.1% a year ago. Compared with third quarter, income from operations increased by 17.4% and operating margin increased from 37.8% to 40.9%, mainly attributable to our revenue increase.  On Slide 25, adjusted EBITDA increased 17.2% year-over-year to RMB130.6 million, and the EBITDA margin increased to 45.1%. Our core net income increased 22.3% to RMB109.3 million, and the core net margin was 37.7%. If we compare with Q3, adjusted EBITDA increased by 17.8%; adjusted EBITDA margin increased 3.5%. Core net income increased by 18.3% and the margin increased 3.1%.  Next, please turn to Slide 26. Net income per ADS was RMB0.83, that is $0.13, up from RMB0.75 1 year ago. Core net income per ADS, basic and diluted non-GAAP, was RMB1.06, that is $0.16, up from RMB0.87 in 2019 and up from RMB0.90 at the end of the third quarter 2020.  Let's now take a look at Slide 27. As of December 31, 2020, the company had total cash and cash equivalents, restricted cash, short-term investments, investments in equity securities and time deposits of RMB1.9 billion compared to RMB1.82 billion as of September 30, 2020. The increase from the third quarter was primarily attributable to increased cash inflow from operating activities, offset by loans to franchisees, investment and upgrade costs at our L&O hotels. The cash and cash equivalents provide us with ample resources as we continue to evaluate potential investments and to support our franchisees. Lastly, on Slide 28, you can see the significant impact which COVID-19 has had on our business. Assuming the pandemic remains under control in China, we expect total revenues for the full year of 2021 to grow 48% to 53% over 2020 levels and 25% to 30% over 2019. This concludes our prepared remarks. Operator, now we are ready to begin the Q&A session.
Operator: [Operator Instructions]. Your first question comes from Praveen Choudhary from Morgan Stanley.
Praveen Choudhary: So first of all, thank you very much for the presentation. And great to see that out of COVID, the company did remarkably well and it came out stronger. My question is related to two things. One, I just wanted to understand the competitive dynamics. I hear from some of your competitors that in the market where it -- other companies were struggling, the incumbents and the bigger ones like you, like Huazhu, managed to add more hotels because you have the financial might and you are big enough and then you have scale. But I look at your net openings for 2020, that's not as strong as we would have liked if you capitalize. So I just want to understand what's the dynamics there. And the second question is related to the first quarter. How are you trending right now? And what do you expect in terms of RevPAR? Not -- I know you have given the guidance on revenue. But in terms of RevPAR trend in first half versus second half, how are you incorporating that in your guidance?
Alex Xu: Okay. Praveen, first, I will have Selina answer the first -- the second question in terms of first quarter RevPAR trend. The first quarter we saw some resurgence in certain cities and provinces. So the occupancy and RevPAR was lower than the same period of 2019. The -- we also have -- we also given the franchisee support in terms of the wavering of certain fees and franchise fees. So in terms of adding hotels in 2020, we -- the first 6 months and including the -- especially the first two quarters, we did see the slower movement in terms of goods and people and the construction companies and also the lack of the certain people concerned about continued investment in renovating hotels for the opening. So we -- if you can see the numbers for the total year of 2020, we did not add as many as we projected. I think Selina projected 700 was short. But I think we plan to capture that in 2021. For instance, I think the first quarter, our overall pipeline, I think we should add about 200 hotels, comparing with 60 in 2020. And so the -- so that's, I think, that's mainly the impact of the COVID for the majority of the first half of the year of 2020. Okay. So, Selina?
Selina Yang: Praveen, as for the second question, how the RevPAR trend in the first quarter of this year, we observed that RevPAR in January decreased by around 20%. And in February, due to the Chinese spring festival, the occupancy rate and also the RevPAR dropped to the lowest.  However, in March, we observed the RevPAR rebounded quickly, declined by less than 10%. And especially by the end of March and early April, our occupancy rate has recovered to 78.5%, nearly 80% recovery as the normal for 2019. And our RevPAR has recovered to nearly 97% as of 2019. So especially during the first two weeks of April, we observed the RevPAR has continued to recover as of 2019. So that is what we observed just for the first quarter.
Praveen Choudhary: And if I can follow up on the RevPAR trend. I know in 2019 second half, it was a low base. Things were a little bit difficult. So as we go to the second half of 2021, and barring any new flare-up of COVID, should we expect the RevPAR to be up compared to '19, whether it's 5%, whether it's 10%? And the reason I'm asking is that what is embedded in your guidance of the revenue growth for full year in terms of second half RevPAR versus '19?
Selina Yang: Okay. Thank you, Praveen. As for our guidance, I think it's a composition of our -- it's a composition of 2 factors. The first one is our F&M expansion. Second one is our newly opened L&O hotels. So for the normal expansion of our F&M hotels, our expansion for the second half of this year, since the third quarter, we expect the RevPAR to be at the same level as 2019. And for the fourth quarter, we expect 2% to 3% above the level of 2019.
Praveen Choudhary: Okay. Great. Super. I mean I had some strategic question. I just don't want to take a lot of time for you. For Alex, one question is about acquisition. You have a lot of cash. You have been talking about for some time. You did some acquisition in Argyle and Urban. What's the plan in future, considering there will be many opportunities at this time? And second was any plans for listing in Hong Kong? That's it for me.
Alex Xu: Okay. Praveen, we accelerated, I think our growth in the first quarter of this year by providing in a way -- by adding strategically in the certain less -- our less growth areas such as Southeast China, Southwest China and Central China. By growing both, providing some liquidity for our franchisees, for good franchisee support, they -- and in addition, and that we -- if there are strategic locations, strategic hotels, we may add selectively L&O hotels in those regions. And so the third, and we are continually evaluating in the smaller regional, but with a robust operating team. But not as big as I think we were discussing before. But we will consider that in smaller scale, local, regional, but with a strong operating team, we may partner or make investment. So, we are aggressively evaluating those opportunities. And we also try to figure out the impact of this new dynamics to those cities, for instance, city with the tourism, the more leisure tourism and the recovery period and as well as the city with stronger business travelers and what's the impact of the cash flow to our investment in the hotels and trying to make only the smarter decisions for our -- not only growth, but with the profitable growth. So thank you so much, Praveen.
Operator: Your next question comes from Colin Yao from Goldman Sachs.
Colin Yao: And congratulations on the robust recovery in RevPAR. So my first question is also about M&A. So since management mentioned that the company will be doing more of kind of leased and owned hotels in strategic locations. So I would like to know, like, what's the thoughts behind that? So why we would like to do L&O hotels? And also, how many are we going to be opening this year? And thirdly will be, will we consider forming a JV like some of our peers do, probably a JV with some property owners or developers? So that's my first question. And my second question, it's also about RevPAR. So since Selina just mentioned, the recovery has been robust in the first and second quarter. So I would like to know, so what are we factoring for the full year RevPAR recovery? Are we seeing like perhaps the full year RevPAR will be about 110% versus the 2019 level, given you already mentioned that the second quarter RevPAR was like 2%, 3% above '19 already. And the third question will be also about secondary listing since I think management perhaps maybe missed that part, was asked by Praveen just now. So those are my three questions.
Alex Xu: Okay. So I will answer the first question. We're doing the L&O hotels because right now, we find that the -- we are -- we have the smallest, we have the lowest number of L&O hotels in -- among our peers. The L&O hotels that in the past several years, in the past three years, we have not done many because as we recommended to our franchisees the last three years, we've been seeing a dramatic increase in rent, in various design construction cost in -- the cost across the board increased substantially. So that is the reason I think we advised our hotel owners or franchisees to make that -- to be conservative. But this year, we see the rent and along with many other cost in the sector -- in those different sectors, they all -- I think they'll come back to a reasonable level. And in addition, in certain strategic locations, we feel that we need -- representative hotels will give us the brand standard, will also give us a place to recruit, train the best people to set operating standard. And so those are crucial for those areas we don't have a strong presence, such as in Southeast China, Southwest China and south part of China. And that the -- those will bring us more impact to accelerate our growth in F&M segment. So that is the reason why we plan to add more in that area because the financial return is also healthier with the reasonable control of all the costs such as rent, such as construction costs. And we're also able to identify some improved hotels where we can -- where the hotel owner -- previous hotel owners will have some need of financial -- and we are able to either partner or buy those hotels. So that's the reason behind this. We can earn both a great return as well as setting up a stronger base being the model hotel, so setting up the operating standard and create a base to train our team instead of training the team just in corporate office in Shanghai. Okay. So the second issue regarding the full year of RevPAR growth compared with 2019, I'll leave that to Selina. And in terms of the secondary listing, and I think I'll leave that to Selina's comment.
Selina Yang: Thank you, Alex. Thank you for your question. Actually, our forecast is made on a consecutive basis. We expect a decrease of 3% to an increase of 2% in terms of RevPAR, if we compare with the year of 2019. So in our forecast, the increase of 25% to 35% may be composed of 2 parts, 20% contribution from our normal expansion of F&M hotels and the balance comes from the contribution of newly opened L&O hotels. So for your question in terms of the Hong Kong listing, we are considering the potential listing in Hong Kong. And we'll be providing information when necessary.
Operator: [Operator Instructions]. Your next question comes from Bruce Mi from UBS.
Bruce Million: So I have two small questions. The first one is also on the L&O hotels. So may I ask, so do you have a, like a target for -- so -- for the contribution from the L&O hotels in total hotel count? So as I can see, it's only about 1% in 2020 and 2019. So as you are accelerating the opening of L&O hotels, what's your opening plan for 2021? And do you have the plan to increase its contribution? And my second question is more about the outlook for the upcoming Labor Day holiday. So could you give us some color on it? And do you -- how is the booking data for this holiday?
Selina Yang: Okay. So thank you for the question. First question, what's the -- what's our plan to open L&O hotels in this year. Actually, in our forecast, we expect to -- around 10% contribution from the newly opened L&O hotels. But it's really hard to give the best number of the leased-and-operated hotels opened. As because as you know, we only want the location of the property and the condition of the property satisfy our requirements that we could make a decision to open leased-and-operated hotels. So -- and for your second question, our forecast in May, especially on the May Day. Now from the advanced reservation, we could observe around 30% in terms of occupancy already. So I think that's a signal to us that the coming holiday -- for the coming holiday, the occupancy rate will rebound continuously.
Alex Xu: Okay. So I'm adding a little bit more to Selina's comments that -- the -- we do not want to force a particular number in terms of opening of L&O hotels. It has many -- first of all, the property has to be right and has to be generating sound financial returns. Secondly, that has to be more representative hotels in certain key locations that -- strategic locations such as transportation hubs. And that the -- but we see more opportunities this year, and especially the last quarter and last -- the second half of last year and first quarter of this year, we see more opportunities much more than before. And I want to elaborate a little bit about Selina's comments. We do not want to give an unrealistic projection of RevPAR growth. And we do believe the like-to-like kind of RevPAR growth, noted by the change of the composition, such as adding more higher-end hotels or spending more in terms of -- in terms of tier cities and also higher rented and higher impacted hotels. And excluding that, like-for-like, we think the RevPAR will be anywhere between probably 3% down from 2019 to somewhere 2% up from 2019, so somewhere about neutral and flat if we're able to achieve 2019 RevPAR. The -- again, the reason is the -- we do believe there is a stress levels on the personal consumption as well as the corporate travel budget due to the worldwide pandemic crisis. So even though we may see the number of tourists increase -- or achieve the same levels, but in terms of the ADR and consumption per capita will be, I think, will be constrained. And so that -- that's our production assumptions in that end. But we will be less impacted because our position of the hotels in the Tier 3 and also the position of hotels in terms of the industry zones and the development zones. In the -- we have focused our hotels for the business travelers versus leisure travelers. So I think this created a positive impact to conquer the negative impact from the COVID.
Bruce Mi: So may I ask some more follow-up questions? So for our newly opened L&O hotels this year, so will it be mainly in mid-to-upscale hotels?
Alex Xu: In what? In upscale?
Bruce Mi: Sorry. So yes. So for the newly opened L&O hotels, will they mainly be in the mid-to-upscale segment?
Alex Xu: Correct. So mainly in those areas, we have less of presence such as we mentioned, the South, Southeast, Southwest. And also in those brands, we have less presence such as mid-to-upscale, primarily in those segments. So that is correct.
Operator: [Operator Instructions]. There are no further questions at this time. This concludes our question-and-answer session. I would now like to turn the conference back over to Ms. Selina Yang for any closing remarks.
Selina Yang: In closing, on behalf of the entire GreenTree management team, we thank you for your interest and participation in today's call. If you require any further information or have plan to reach us, please contact us. Thank you all.
Alex Xu: Thank you.
Operator: The conference has now concluded. Thank you for attending the conference today. You may now disconnect.